Operator: Good morning, ladies and gentlemen, and welcome to Movado Group's Fourth Quarter and Full Year Earnings Conference Call. [Operator Instructions] As a reminder, ladies and gentlemen, this conference is being recorded and may not be reproduced in whole or in part without permission from the company. I would now like to introduce Ms. Rachel Schacter of ICR. Please go ahead, ma'am.
Rachel Schacter: Thank you. Good morning, everyone. With me on the call is Efraim Grinberg, Chairman and Chief Executive Officer; Rick Cote, President and Chief Operating Officer; and Sallie DeMarsilis, Chief Financial Officer. Before we get started, I would like to remind you of the company's Safe Harbor language, which I'm sure you're all familiar with. The statements contained in this conference call which are not historical facts may be deemed to constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Actual future results may differ materially from those suggested in such statements due to a number of risks and uncertainties, all of which are described in the company's filings with the SEC, which includes today's press release. If any non-GAAP financial measure is used on this call, our presentation of the most directly comparable GAAP financial measure to this non-GAAP financial measure will be provided as supplemental financial information in our press release. Now I'd like to turn the call over to Rick Cote, President and Chief Operating Officer of Movado Group.
Richard J. Cote: Thanks, Rachel. Good morning, and welcome to our conference call. We are pleased with our fourth quarter and year-to-date results, which continued our strong performance from the past 12 quarters. Coming out of the 2009 recession, fiscal year 2013 was our third consecutive year of strong sales and profitability growth. Our accessible luxury and licensed brand divisions continue to drive the strong performance, having delivered a combined 18% constant dollar sales growth this year and 23% in the prior year. This consistent performance demonstrates the ongoing success of our strategies that focus on capitalizing on the unique aesthetic of our brands with compelling product offerings while maximizing our very strong global infrastructure and talent pool. The implementation of SAP globally, along with fully integrated new processes, has provided an exceptional platform -- foundation for us to manage our business and drive consistent profitable growth. Recognition in InformationWeek 500 for the fourth year in a row and breaking into the top 15 as one of the nation's most innovative users of business technology is a testament to our global infrastructure capabilities. We are excited about the many growth opportunities that lie ahead, afforded to us by our strong operating platform and by the powerful brands in our portfolio. We are committed to continue this positive momentum over the longer term, as I will outline later. Our financial results were strong across all key metrics. In total, for the fourth quarter, adjusted net sales increased 7.6%, reflecting the broad-based strength across our business with strong consumer demand in customer sell-through. The 7.6% sales growth includes the impact of the 53rd week retail calendar shift. Without this shift, our adjusted sales growth would have approximated 10%. Adjusted operating income increased 17% to $10 million from $8.6 million last year. This improved performance resulted from our strong sales growth and having an established infrastructure that allows us to continue to leverage our expense base. For the full year, our net sales increased 9.7%, or 11.4% on a constant dollar basis. And adjusted operating income increased 67% or $57.2 million from $34.3 million in the prior year. Our adjusted earnings per share increased to $1.64 from $1.08 last year even with the higher effective tax rate in fiscal year '13. Our balance sheet remains exceptionally strong, as evidenced by our accounts receivable and inventory levels increasing only 1% at year-end on an 8% sales increase. In addition, our net cash position was $168 million at year-end, after returning $37 million to our shareholders or $1.45 per share to pay 2 special dividends and our regular quarterly dividends during the year. Our strong performance drove cash flow from operations of $39 million and approximately $180 million of cash flow from continuing operations over the past 3 years. We are also pleased to announce that our Board of Directors has approved our regular $0.05 quarterly dividend. Our equity position remains strong at over $420 million. Let me now briefly discuss some global trends and provide some specific brand highlights for the quarter. From a global perspective, the watch category continues to perform well, and we continue to experience strong sell-through performance across our retail partners. Based on our plans, we expect to continue our positive sales growth performance in fiscal year '14, although we are cognizant that the world economies remain tenuous. From an economic perspective, we continue to anticipate moderate growth in North America, modest growth in Northern Europe, a continued recession in Southern Europe, solid growth in the South America and conservative growth in Asia. From a brand perspective, the execution of our Movado brand strategy continues to produce particularly strong results. Globally, Movado's constant dollar sales grew 15% in the fourth quarter of fiscal 2013 as compared to the same period in fiscal 2012 and 18% in the full year period. This is the third consecutive year of 18% or greater sales growth for the Movado brand. Our Movado brand in the United States continues to hold the leading market share position in our key price points of $500 to $1,500 and a strong market position in the $1,500 to $3,000 price segment. Additionally, Movado continues to outpace the category and increase its market share in total in the $300 to $3,000 price segment and in virtually every category within this segment. Indicative of our market share growth in the United States, the $500 to $3,000 price category has grown 5% for the trailing 12 months, while Movado has grown 20%. The category growth, excluding Movado, was only 2%, again, compared to our 20% growth. All distribution channels continue to perform well with double-digit gains in U.S. department chain and independent stores, leading greater growth in our broad and specialty channel distribution. Product segmentation and our strategy to offer compelling product at key price points continues to help drive our growth. Great performers in the fourth quarter included Cerena and Serio Diamonds for women. And in the men's category, our classic Museum strap and bracelet, the new strap Circa and Vizio. Movado Bold, part of our Swiss trend pillar, is still exceeding expectations. Strategically limited to less than 700 doors worldwide, Bold continues to add a fresh, younger perspective to Movado. Great product, along with a focused 360-degree marketing program, continues to help drive our strong Movado sales performance. As mentioned on previous calls, we have repositioned ESQ to now be closer to but distinctive from Movado. ESQ Movado, powered by Movado, has been universally launched with our retail partners. ESQ Movado product, supported by new displays and new packaging, is priced from $150 to $595 and has a much improved aesthetic, with a true design language throughout the entire collection. Some of our key new products are Origin, a collection of oversized lady watches priced from $295 to $395; the bangle family Corbel; and for men, Capital, a classic watch on a strap, and Synthesis, a rectangular case on a bracelet. We are just launching now in the marketplace ESQ One, an eye-catching watch of unisex appeal that's cool, colorful, fashionable and fun, with Swiss quartz precision and retailing at only $150. Please visit our website to view these must-have fashion accessory timepieces. The relaunch of our luxury brand Ebel with 2 entirely new and distinctive collections, ONDE and X-1, brings a new bold approach to luxury. The new collections target the modern, chic women and men, a consumer who is active, stylish and fashion-driven but not a fashion victim. Ebel's comprehensive brand refresh is supported by a 360-degree marketing program, including a new brand identity and logo, beautiful new merchandising displays and packaging, a dynamic global print and digital advertising campaign, strong public relations and a new ebel.com website. We are still in early days of our relaunch and, so far, off to a good start. Our licensed brand division continues to perform extremely well. Our global license brand team grew sales in this division on a constant dollar basis by 10% in the fourth quarter and 20% for the full year, on top of exceptional sales growth for the full year in fiscal year 2012. We continue to invest in product development and infrastructure to our Scuderia Ferrari brand, which will launch globally in the next few months. Growth in our licensed brand division is being driven by innovative product designs at key price points that are resonating well with consumers. Sales growth continues to be strong in the United States, Germany, United Kingdom, China and South America. Some of the leading product performers for licensed brands during the fourth quarter are the Coach Boyfriend Mini and Classic Signature product offerings; the Tommy Hilfiger Windsurf and Kelsey models; Hugo Boss Ultra Slim Classic watches; and the Lacoste Borneo collection and Seattle bracelets. Our plans call for continued strong licensed brand division growth with the launch of the Scuderia Ferrari brand in April and the repositioning of Coach watches. In support of Coach's strategy of expanding the global lifestyle brand with accessories, we will be refining the positioning of the Coach watch line as fashionable modern classics offering the quality and authenticity inherent in Coach, with an improved price point proposition to consumers. In support of this strategic initiative, we will be implementing the appropriate market and product changes within our Coach brand during this calendar year and have accrued a $4.9 million charge in fiscal year '13 to cover the implementation cost. Our outlet retail division remains an important contributor to our business from both the sales and profitability perspective. The greater emphasis we have placed on branding and customer service at our existing stores has helped fuel sales conversion and enhance profitability. We continue to open new stores in select outlet malls within the United States. We opened up a new store in Livermore, California in the fourth quarter, and we'll open a new store in Phoenix, Arizona, in the second quarter of this year, which will keep our store count at 34 outlet stores. We remain excited that the initiatives we have diligently been working on have been successful in creating momentum at our business. And while we recognize the environment remains challenging, we are pleased that we were able to exceed our plans and are excited about the sustained strength we are seeing in our business as our reference to fine-tune the positioning of our brands are well in place. I would now like to take a few minutes to discuss our business plans for the next 4 years. We have posted a strategic plan presentation on our website, which we see suggest you review. Fiscal year '14 is the last year of our strategic plan that we announced in September of 2010. And we are pleased to report that we have exceeded our earnings per share target for fiscal year '14 of $1.50 in fiscal year '13. We also delivered expected strong sales growth and expense leveraging despite the need for greater price value to consumers, which resulted in our gross margin being over 200 basis points lower than originally planned. The efforts and initiatives implemented by our global team have positioned us to continue on the path of being a growth company. Our core pillars of growth for the next 4 years will be driven by: first, the continued globalization of our Movado brand; second, market share gains and business expansion in our licensed brand division; third, increases in our direct wholesale market sales and increased retail productivity; fourth, continued leverage of our strong global infrastructure; and fifth, consistent generation of cash flow from operations slightly greater than profitability. Executing these initiatives will allow us to deliver our financial plans, which call for a consistent 10% sales growth per year and approximately 20% operating profit growth per year. As a reminder, this approximate 20% operating growth plan is on top of more than 60% operating profit growth in each of the last 2 years. We view the growth envisioned under these plans as significant, appropriate and achievable and certainly not conservative. These plans call for fiscal year '17 sales to approximate $750 million, representing a 50% increase from fiscal year '13; operating profit to approximate $115 million, which is double fiscal year '13's level; and earnings per share to slightly exceed $3 per share, which is almost double fiscal year '13's adjusted earnings per share. As separately announced this morning, we have initiated a stock repurchase program, which should allow our diluted shares outstanding for earnings per share calculations to remain relatively constant with year-end fiscal year 2013. We believe our combination of powerful brands, superior infrastructure and our talented global management team position us to continue the path of above average sales and profit growth. Now I'd like to turn the call over to Sallie to discuss our financial results and fiscal year '14 guidance in greater detail.
Sallie A. DeMarsilis: Thank you, Rick, and good morning, everyone. I'm very pleased to speak to you today and present our results for the fourth quarter and fiscal year 2013. Before I review the quarter and the year in total, I would like to point out that special items are included in our fourth quarter and full year results for fiscal 2013, as well as fiscal 2012. Please refer to our press release for a description of these items, as well as the table of GAAP and non-GAAP measures. As Rick mentioned, our results for the fourth quarter and fiscal year included a $4.9 million or $0.13 per diluted share charge to sales and gross margins related to the repositioning of the Coach brand. The impact of this charge on gross margin was a decrease of 190 basis points for the fourth quarter and 40 basis points for the full year. Additionally, the fourth quarter and fiscal 2013 results were impacted by a $500,000 or $0.02 per diluted share net tax benefit for certain unusual foreign matters -- foreign items. In the third quarter of fiscal 2013 and the fourth quarter of fiscal 2012, we recorded a $3 million pretax contribution to the Movado Group Foundation. These contributions are reflected in our fourth quarter results for fiscal 2012 and the full year results of both years. Fourth quarter and fiscal 2012 periods include the sale of $3 million of mechanical movement and related parts that were not needed for our forecasted production. The impact of this sale on gross margin was an increase of 50 basis points for the fourth quarter and 20 basis points for the full year. On a GAAP basis, the tax provision for fiscal 2013 includes a $19.8 million or $0.77 per diluted share noncash tax benefit related to the reversal of the valuation allowance on certain domestic net deferred tax assets. $400,000 of this reversal was in the fourth quarter. The tax provision for the fourth quarter and fiscal 2012 included a $10.3 million or $0.41 per diluted share noncash tax benefit related to the reversal of the valuation on certain foreign net deferred tax assets. And finally, the tax provision for the fourth quarter and fiscal 2012 also includes a $4.3 million or $0.17 per diluted share settlement with the Swiss federal tax authorities to close several audits through fiscal 2010. The balance of my remarks will exclude the special items just discussed. For the fourth quarter, our sales increased 7.6% to $128.5 million. In constant dollars, sales also rose 7.6%. Sales growth was driven by our accessible luxury and licensed brand categories. It included a 12.9% increase in the U.S. and in constant dollars, a 2.1% increase internationally. Sales in our wholesale segment were $108.9 million or 8% above sales of $100.9 million for the same period of last year. By geography, our U.S. wholesale business increased 16% to 14 -- I'm sorry, to $49.1 million compared to $42.3 million last year. Our international wholesale business increased 2.2% to $59.9 million compared to $58.6 million in the prior year. Sales growth was led by increases in Germany, the U.K., the Middle East, South America, China and Canada. Sales from the company's retail business were up 1.6% from last year, with an enhanced level of profitability. At the end of the period, we operated 34 outlet stores. Gross profit was $67.6 million or 52.6% of sales compared to $63.5 million or 53.2% in the fourth quarter of last year. The 60-basis-point decrease in gross margin was driven by unfavorable channel and product mix, partially offset by the favorable impact of changes in foreign currency exchange rates and leverage gained on fixed costs. Operating expenses were $57.6 million, an increase of 4.8% year-over-year. The increase was primarily the result of a $2.2 million increase in marketing expense. Operating income increased 17.2% to $10 million or 7.8% of sales compared to $8.6 million or 7.2% of sales in the year-ago period. Income tax benefit was $800,000 compared to income tax expense of $2.4 million last year. And our effective tax rate was a benefit of 7.7% in the fourth quarter of fiscal 2013 compared to a 28.7% effective tax rate last year. The tax provision for both periods includes the effects of the application of guidelines related to accounting for income taxes and interim periods, and only the tax provision for the fourth quarter of fiscal 2012 include the effects of accounting for valuation allowances. The fluctuation in the effective tax rates is also due to a shift in the mix of global pretax financial results. Net income in the fourth quarter was $10.5 million or $0.41 per diluted share versus net income of $5.9 million or $0.24 per diluted share in the year-ago period. Looking at the results for the full year ended January 31, 2013, sales were $510.4 million, an increase of 9.7% from fiscal 2012. Higher sales were driven by both the U.S. and international businesses. On a constant dollar basis, sales increased 11.4%. Gross profit was $282.8 million or 55.4% of sales as compared to $254.1 million or 54.6% of sales last year. Operating income increased 67% to $57.2 million or 11.2% of sales compared to $34.3 million or 7.4% of sales in fiscal 2012. Income tax expense was $14 million compared to income tax expense of $6.1 million last year. And our effective tax rate was 24.6% for fiscal 2013 compared to a 17.9% effective tax rate last year. Fluctuation in the effective tax rate is primarily due to a shift in the mix of global pretax financial results. Net income increased 54.7% to $42.1 million or $1.64 per diluted share compared to net income of $27.2 million or $1.08 per diluted share in the year-ago period despite the year-over-year increase in the effective tax rate. EBITDA increased 48.5% for fiscal 2013 or $67.9 million from EBITDA of $45.7 million last year. Now turning to our balance sheet. Cash at quarter-end was $168.9 million as compared to $182.2 million last year. We continue to have no debt outstanding. Accounts receivables increased only $1.5 million or 2.5% to $64.3 million. And inventory stayed relatively flat even as our sales increased close to 10% year-over-year. Capital expenditures for the year were $16 million, and depreciation and amortization expense was $10.6 million. Now I would like to discuss our guidance for the current fiscal year. Let me begin by commenting on our effective tax rate. We are forecasting a 28% effective tax rate for fiscal 2014 versus the adjusted 24.6% effective tax rate for fiscal 2013. We are still taking a cautious view of the global economy. We're assuming no significant fluctuation in foreign currency exchange rates. For fiscal 2014, we anticipate our sales will increase approximately 12% to a range of between $570 million and $575 million. Sales growth above 10% is driven by this year's launch of the Ferrari branded watches. Gross margin rate is expected to be approximately 54%, a decrease from fiscal 2013 due to the mix of business, a continued focus on the price/value proposition, the repositioning of the Coach brand and the launch of the Ferrari branded watches. Operating income is projected to increase close to 20% to $68 million. EBITDA is expected to increase to $80 million. Due to the mix of global pretax results, as previously mentioned, the estimated effective tax rate for the current fiscal year is expected to be 28%. The net income is planned to increase approximately $48 million. We expect diluted earnings per share in fiscal 2014 will increase to approximately $1.80. Today, we also announced that our Board of Directors has approved a $50 million share repurchase program. The purpose of this program is to offset normal dilutions caused by share awards. Because this repurchase program will only be in place for a partial period of this year, we do not expect the share repurchase program to have a significant impact on the weighted average number of shares outstanding for fiscal 2014. As for the expectation for the first quarter of fiscal 2014, we expect operating income to be slightly lower than last year, primarily due to a reduction in the gross margin rate as a result of the channel and product mix. The guidance we have provided assumes no unusual items for fiscal 2014. Lastly, I would also like to point out that capital expenditures for fiscal 2014 are estimated to be approximately $19 million and includes the final costs related to the production of the new Basel Fair booths and our Swiss corporate offices. Now I would like to turn the call over to Efraim.
Efraim Grinberg: Thank you, Sallie. We are pleased to have delivered another year of strong growth in fiscal 2013, reflecting the ongoing success and disciplined execution of our growth strategies. We are committed to maintaining our strong performance in the year ahead and for the longer term, as outlined in our multi-year strategic plan. This plan includes approximately 10% sales growth annually and approximately 20% operating growth -- operating profit growth per year over the next 4 years and follows operating profit growth of over 60% per year in each of the past 2 years. Throughout the course of fiscal 2013, we implemented several strategies to position our company well in fiscal 2014 and a longer term. We delivered powerful innovation across our brands that has driven market share gains. We repositioned our ESQ and Ebel brands for long-term expansion and have already seen a favorable response from consumers to our new assortments. On the licensing side of the business, we prepared for our spring launch of the Scuderia Ferrari brand. And through our partnership with Coach, we developed a plan to broaden the brand's consumer reach and accelerate sales. We also made progress on our international expansion goals by increasing our direct ownership in our U.K. joint venture, which is expected to result in faster growth in this important market. Our balance sheet remains healthy as we continue to invest in our business and return value to our shareholders. As Rick discussed earlier, we are pleased to have announced today a quarterly $0.05 dividend and a $50 million share buyback program, which should allow us to maintain a consistent share count and offset the dilutive impact from stock option grants. I would like to thank the 1,400 associates around the world that contributed to our success this year. We remain excited about our prospects for the future and believe the continued execution of our strategies will lead to another positive year of growth for Movado Group. We would now like to open the call up for questions.
Operator: [Operator Instructions] And we'll take our first question from Oliver Chen with Citi.
Oliver Chen - Citigroup Inc, Research Division: Regarding the gross margin, could you kind of explain to us what happened with channel and product mix in the quarter? And it looks like the forward guidance for this is 54% next year. Do we expect each quarter to kind of see the pressure? And is this -- in relation to channel product, it sounded like you're also looking to offer better value to customers?
Efraim Grinberg: Well, I'll start, and then I'll turn it over to Rick. We continue to be -- to make sure that we're offering consumers excellent value across each of our brands and each of our price points. So that's an important proposition for us, and it has pressured our gross margin over the last several years. But fortunately, we've been able to make it up with leveraging our excellent infrastructure.
Richard J. Cote: I think the key thing that is impacting us from our go-forward strategic plan, which will start certainly this year, is the change in the Coach positioning to a much -- to the fashion category, as well as the launch of the Scuderia Ferrari brand, which will be at lower than company average gross margins. Again, very strong price/value proposition in both of those brands.
Oliver Chen - Citigroup Inc, Research Division: Okay. And the repositioning of Coach sounds exciting. Are you saying that the pricing there is going to be a better value? How should we think about what's happening with the product then? And it seems like there's a lot of potential for the revenue growth at this brand. Could you just help us understand how your distribution footprint may or may not change?
Efraim Grinberg: Well, I think we're very pleased with our distribution, I think, with -- both within Coach stores and our department store distribution. We're very bullish on the Coach brand, and they're really focused on becoming more of a lifestyle brand. And we're partnering through that effort to -- and by entering into the fashion watch category, we can develop newness at a higher speed and be more on trend, as well as offering excellent values to the consumer, which we believe will ultimately build a much more significant business for us. Again, this is a long-term proposition, and like most things in our company, we are focused on the long term. But we're very, very bullish on this initiative. And the brand, as well, is one of the more powerful brands around the world.
Richard J. Cote: And the changes in specifically the Coach, as well as the Scuderia Ferrari launch, are built into our strategic brands.
Oliver Chen - Citigroup Inc, Research Division: Okay. And a last question is -- the inventories look like they're in good shape, being flattish versus last year. You -- is that a trend that we expect to continue? Or do you feel like this may be accelerated? If you could comment also on inventories in your wholesale partners, how they're looking.
Sallie A. DeMarsilis: I'll address the corporate side of that, and then I'll ask someone else to address the retail partner side. This is Sallie. From an inventory perspective on the corporate side, we will -- we plan on having it grow at a smaller pace than our top line sales growth. So we will continue to look for opportunities there, but we are comfortable with the overall level at this point.
Richard J. Cote: And we are very pleased with our inventory positions in the wholesale channel with our retail customers. And I think that's best evidenced by the numbers I talked about in the Movado growth in the marketplace, which is quite substantial and well above our competitors in general. And also, as you can see from one of our strategic initiatives, we really do focus in and we continue to focus in on improving retail productivity. So we have been focused on that for a long time. Our success has been very good there. We continue to push ourselves and deliver better performance for ourselves, as well as our retail partners.
Operator: [Operator Instructions] And next, we'll go to Mike Richardson with Sidoti.
Michael Richardson - Sidoti & Company, LLC: I was hoping I could just follow up, actually, on one of the questions that Oliver asked. Just regarding the price points, what are the price points going to be now for Coach after the repositioning? And what is the price point going to be in the Ferrari Scuderia as well?
Efraim Grinberg: Sure. Well, Coach will really focus on the $148 to $398 price range but offering a tremendous value to the consumer within those price categories, as well as being really on trend and with a higher level of innovation. Ferrari prices are going to be between EUR 95 and EUR 600 on average. There will be some watches that will go up to $1,000. But on average, we expect the average price to be about $300 to $400.
Richard J. Cote: The opening price point is about $95.
Michael Richardson - Sidoti & Company, LLC: Okay, that's helpful. With regard to Ferrari this year, what are the expectations there from a sales and EPS standpoint? Could you comment on that?
Richard J. Cote: Well, we don't give sales growth for any of our brands individually. So we do expect a nice launch, and as Sallie highlighted, our sales growth on our strategic plan is planned around 10%. But this year, will be a bit higher than that because of the launch of Ferrari and the opening of quite a few doors. We will continue to open doors quite a bit over the next 4 or 5 years, so it is not all happening in 1 year, but this, obviously, is a very important year for us. We will start selling in the month of April and building our door counts as the year goes on.
Michael Richardson - Sidoti & Company, LLC: What is the year-end door count expected to be?
Richard J. Cote: Probably around 2,500 doors or so, something like that. But we see that's certainly going to 5,000 plus over the next 3 or 4 years. From an earnings per share standpoint, as you know, we've been investing behind product development and product launch and supply chain and sales and general management and marketing. This year will be the first year we actually start having some sales. So certainly, it will be adding to our bottom line, but certainly not at the levels or the percentages as we would see as a company. We will grow into that over time.
Efraim Grinberg: Just to add to what Rick said, the launch of the doors, as Rick mentioned, the 2,500 doors, those are global doors because Ferrari is a global brand, and we will be launching it around the world.
Michael Richardson - Sidoti & Company, LLC: Okay. From a sales perspective, what is the biggest growth opportunity going forward, I guess, over the next 4 years?
Efraim Grinberg: Well, I think it's important of looking at that saying there is no single major event. It really is continuing to perform with excellence and execute with excellence in all of the initiatives that we have. So every one of our categories has tremendous growth opportunity, whether it's Movado, our licensed brands, obviously, the repositioning of Coach, the launch of Scuderia Ferrari, so consistently performing and executing on the initiatives that we have are all contributing to that strong growth. So again, no one major event but continued strong growth across all of our businesses and brands and across all of our geographies.
Michael Richardson - Sidoti & Company, LLC: Okay. And then just one more, and then I'll jump out and let somebody else jump in. I'm just wondering if you could comment on the sales trends in the current quarter.
Richard J. Cote: Generally we don't highlight on the trends in the quarter. Obviously, the first quarter is our smallest quarter. We believe we're well positioned for product offering in the marketplace with certainly the upcoming holidays of Mother's Day, Father's Day and graduation. So again, the first quarter is our smallest. We believe we're performing quite well, and we'll continue to do that despite, perhaps, the market not growing at the same level.
Operator: [Operator Instructions] And we have no further questions at this time.
Efraim Grinberg: Okay. I would like to thank you, again, for joining us today. We look forward to speaking to you when we report our first quarter results in May. And again, thank you very much.
Operator: That does conclude today's conference. We appreciate your participation. You may now disconnect.